Operator: Greetings and welcome to the Grupo Aeroportuario del Centro Norte First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]It's now my pleasure to introduce your host, Emmanuel Camacho. Thank you, sir. You may begin.
Emmanuel Camacho: Thank you, Jen. Good morning everyone. Thank you for standing by and welcome to OMA's first quarter 2020 earnings conference call. Ricardo Dueñas, Chief Executive Officer and Ruffo Pérez Pliego, Chief Financial Officer, will be joining us this morning and will discuss OMA's first quarter 2020 results.Please be reminded that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our control, which include the impact of COVID-19.I will now turn the call over to Ricardo Duenas.
Ricardo Dueñas: Thank you, Emmanuel, and good morning to everyone and thank you for joining us today. I hope you and your families are healthy. Also on behalf of the entire OMA family I would like to share my deepest sympathy to all people around the world who have been effected by this pandemic and paying all those who have been working to keep off all of us safe during this difficult times.This morning I will review the evolution of our business during the current challenging scenarios caused by COVID-19 as well as our first quarter performance. In the second half of March the outbreak of COVID-19 began to generate an adverse impact in our operations.In order to counter the spread of the disease in March several countries including the United States and countries in Latin America announced flight restrictions and the closure of the wars for international travelers as well as containment measures of relation controls of their borders for international travelers as well as in some cases containment measures of their population.The Mexican government also implemented various measures to control this spread of COVID-19 including school closures and the suspension non-essential activities. On March 31, Mexico's Ministry of Health issued a decree suspending all non-essential activities in the country till April 30th. And then April 21st such suspension was extended till May 30th.Airport operations are considered an essential activity, so our airports have been remain operational. From April 1st to April 22nd, our total passenger traffic in our airports decreased 92% as compared to the same period of last year.We expect passenger traffic to increased a travel restrictions and stay at home ordinances are lifted. As up today, Mexico has not issued any restrictions on air travel. However, if the government issues restrictions to our operations or if current measures to counter the spread are extended, we may experience a significant additional decrease in our passenger traffic.Some of the companies airlines and other clients and tenants have asked for assistance. We are in commercial discussions with out clients in this respect. I would also like to mentioned that we have maintained a close and continuous communication with aeronautical and health authorities in order to protect our passengers on our personal working in our airports.We have implemented security and health measures such as sanitary filters, adaptation of isolation zones, use of infrared thermometers and antibacterial gel dispensers. We have reinforced our cleaning and disinfection processes and the use of mask for our employees among others.On the cost and expense side, we have started to implement cost reduction initiatives to mitigate the effect of the pandemic. Some of the measures we have implemented are, temporarily partial terminal closures, temporary reduction of subcontracted cleaning and security staff at the airports and the deferral of schedule minor maintenance work.This measures however will not be able to offset the impact of lower revenues as a results of the sharp decline in passenger traffic since the majority of our operation expenses are fixed. We cannot estimate the duration of the impact of this pandemic. Sorry, we cannot estimate duration of this pandemic and we'll have in the coming months on the volume of passenger traffic, the number of flight operations or our financial situation on the main airlines and commercial tenants that operate at our airports.As a result, we cannot estimate the impact of the material adverse effect on our results of operations or financial performance for 2020. It is worth noting the following; currently our cash position is similar to that of December 31st, 2019 and we maintained low leverage allowing us to meet our obligations.We have no significant debt maturities until June 2021 and we did not expect any difficulties in complying with our debt service or covenants. And even though our MDP works and progress are temporarily suspended, we do expect that COVID-19 pandemic to affect our committed investment in 2020 under the current master development programs.Finally, I would like to highlight that for liquidity preservation purposes in these uncertain times, our Board of Directors has recommended to declare the payment of a dividend at the upcoming shareholders meeting, which will be held on June 19.Conversely, the meeting will also vote on the cancellation of 3.7 million shares held in our treasury in favor of our shareholders. I invite all shareholders to respond to meetings call and attend or be represented at the meeting in June.Turning on our first quarter operational results. Total passenger traffic reached 4.9 million in the first quarter, down 5% compared to the first quarter of 2019. Since the second half of March, airline operating -- airlines operating in our airport have adjusted significantly their capacity offered and passenger traffic has decline accordingly.From March 1st through March 15, passenger traffic decline 2%, and for the remainder of the month it decline 61% compared to the same period in 2019. The routes that in first quarter of 2020 experienced the greatest impact on total passenger traffic due to their restrictions of frequencies or suspension of flights are; Monterrey on its Mexico City while Guadalajara and Cancun routes; Culiacan on its Tijuana route, and Acapulco on its Mexico city route. Overall, solid results in January and February were eclipsed by the traffic decline in March.As a result, adjusted EBITDA decreased 2.4% in the quarter and adjusted EBITDA margin reached 72.2% largely due to the decrease in aeronautical revenues which were partially offset by an increased in non- aeronautical revenues. On the commercial front, we implemented 21 initiatives in the quarter including car rental, retailers and restaurants among others.Commercial revenue grew 8.9% and the occupancy rate for commercial space in our terminals was 97% at the end of the quarter. Diversification activities delivered a revenue decreased of 4.8%, driven primarily by lower revenues from hotel services.During the first quarter of 2020, the occupancy rate of our terminal 2NH Collection Hotel and Hilton Garden Inn and Monterrey airport were 11.6 and 15.4 percentage points lower respectively than in the comparable period of 2019. Additionally, on April 6,we temporarily suspended services at the Hilton Garden Inn through at least April 30th due to low occupancy.Total investment in the quarter, including MDP investments, major maintenance and strategic investments were MXN220 million. Our major projects underway include the expansion and remodeling of Monterrey Airport Terminal A, expansion of Terminal C in Monterrey, expansion and remodeling of the Tampico terminal building, modernization of the Zihuatanejo terminal building, new passenger terminal building in Reynosa and work on runways, taxiways and aviation platforms in several airports.I would now like to turn the call over to Ruffo Pérez who will discuss our financial highlights for the quarter.
Ruffo Pérez Pliego: Thank you, Ricardo. Good morning, everyone. I will briefly review our financial results, and then we will open the call for your questions. Turning to OMA's first quarter financial results.Aeronautical revenues decreased 3.6%, driven by the 4.9% decrease in passengers. Aeronautical revenue per passenger rose 1.3% in the quarter. Non-aeronautical revenues increased 3.4% with commercial revenues making the largest contribution to growth. Non-aeronautical revenue per passenger increased 8.7% in a quarter.Commercial revenues increased 8.9%. The best performing categories were restaurants, car rental and VIP lounges. Restaurants grew 23.1% due to the new spaces rented in Monterrey and Culiacán airport, as well as higher revenues derive from openings in previous quarters.Car rental revenues rose 15.1% as a result of the new contracts that have begun operations over the last quarters. VIP lounges grew 38.6% due primarily to the growth in the number of customers served during January and February. As a result, commercial revenues per passenger increased 14.5% to MXN46.7 as compared to the same quarter of last year.Diversification activities decreased 4.8%, mostly driven by hotel services. Total aeronautical and non-aeronautical revenues reached MXN 1.7 billion. Construction revenue decreased 6.0%. This is a non-cash item that is required under applicable accounting standards. It is equal to construction cost of improvements to concession assets, so it has no impact on earnings.The cost of airport services and G&A expense increased 0.6%. During this quarter payroll increased 6.7% mainly due to annual salary adjustments. This increase was offset by a lower cost in basic services as a consequence of lower cost of electricity. OMA's first quarter adjusted EBITDA decreased 2.4% to MXN1.2 billion, and the adjusted EBITDA margin was 72.2%, down 40 basis pointsDuring the quarter, our financing income was MXN289 million. We reported an exchange gain of 344 million, mainly as a result of our cash position nominated in U.S. dollars, which at the end of March, 2010 amounted to 80.0 million, primarily as a result of the aforementioned consolidated net income increased 27.6% to MXN970 million.Total cash from operating activities decline 33% to MXN375 million at the end of the quarter of 2020, mainly as a consequence of an increase in tax paid as compared to 1Q, 2019 and the reversal from net income of the FX gain since the FX gain is a non-cash item.This concludes our prepared remarks. Jen, please open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alejandro Zamacona with Credit Suisse. Please proceed with your question.
Alejandro Zamacona: Thank you. Hello, Ricardo. Thank you for the call. And our first question is on the non-aeronautical revenue. So considering the 92% traffic decline for the first three weeks of April, what have you seen in the commercial business side? Have you seen any delinquency rates or delays in rent? And our second question is on the maximum tariffs. So for 2020, could we still expect the tariff to be close to the maximum tariffs? Thank you for both questions.
Ricardo Dueñas: Thank you, Alejandro. Beginning with your second question, yes, we believe we're going to be very close to the maximum tariff for the year. And regarding the first one, in non-aeronautical revenues, at the close of March 30, we haven't seen any difference on delinquencies. As you recall, the non-aero tenants contracts are divided in a minimum guaranteed price and a variable, whatever is higher. Approximately around -- out of the total, around 65% of the revenue comes from the minimum and 35% comes from the variable payments. We don't know how delinquencies would look going forward.
Alejandro Zamacona: Okay. Thank you for the color.
Operator: Thank you. Our next question comes from the line of Luis Yance with Compass. Please proceed with your question.
Luis Yance: Thank you. Good morning, guys. A couple of questions on my side. The first one is regarding Interjet. As we've seen lessors starting to repossess a big chunk of their fleet, so if you can remind us your exposure to Interjet in terms of passengers, but also in terms of accounts receivable, and whether you have enough collateral? And how it would play out if they were to default in terms of your potential recovery? So that's my first question.
Ricardo Dueñas: All right. Thank you for your question. Our exposure to Interjet is not material, and it's similar to the exposure we had in previous months. As you know, Interjet is around 15% of the capacity of OMA. We don't know what will happen. But in a situation that such as the one you're describing, we believe that the demand could be taken by some of the competitors.
Ruffo Pérez Pliego: Yes. And just to clarify, I think that as Ricardo said, our exposure is not material. We are adequately guaranteed on whatever our exposure is.
Luis Yance: Okay. Great. And then also on the -- clearly, you mentioned that you've been talking to some of your airlines and your tenants to see what sort of relief they may need. So could you comment on that? What sort of concessions are you giving to airlines? Is it deferrals? Or is it actually discounts that you're giving them? For how long? And where are you in those sort of negotiations?
Ricardo Dueñas: Thanks for your question. On the aero side, we granted a 100% discount on airport service fees during April and May for regular passenger operations. This discount is subject to payment compliance from the airlines and excludes passenger charges, the two added -- it excludes two payments. As for the other tenants, we have offered deferrals on some of their payments.
Luis Yance: Okay. And then the last question on the -- in general terms, when we think about your cost structure, you mentioned that most of your costs are fixed. So I was wondering if the situation remains lower for longer, what sort of measures can you take to lower your fixed cost, which fixed costs are you actually looking at and could be lower down the road if necessary?
Ruffo Pérez Pliego: Sure. On our cost structure, there are two components that are variable, which are the tax concession payment, which currently amounts to 5% of our airport revenues, and also the technical assistance fee, which currently stands at around 3% of our EBITDA. The remaining portion of our costs are primarily semi-fixed cost in the short term. We have taken measures, obviously, as Ricardo mentioned in the call, like temporary closures of certain areas in terminals, which reduce electricity consumption. There is no need to have a larger staff of cleaning services servicing that area, et cetera. So those are the steps that we have taken to reduce our costs.However, most of our G&A and cost of services items are, as I mentioned, semi-fixed in the short run, given that you have to operate the airport for their scheduled and authorized hours of operations, you have to maintain operational areas with adequate safety standards, et cetera. So to the extent that the effect on operations is permanent, we may think of an adjustment in some of our cost structure. But thinking of some recovery over the next few months, it will be difficult to adjust temporarily our cost basis because it would be more expensive to reduce our cost initially and then having back to normality our operations once the COVID pandemic is over.
Luis Yance: Okay. Thank you very much and stay healthy guys.
Ruffo Pérez Pliego: Thank you.
Operator: Thank you. Our next question comes from the line of Mauricio Martinez with GBM. Please proceed with your question.
Mauricio Martinez: Hi, good morning, Ricardo and Ruffo. Thanks for taking my question. My question comes in front of the next MDP and the current negotiation that you should go under right now, and more specifically on how did the environment will impact your projections going forward and the investments that you have guided previously in previous quarters. How will this impact the investment, the total investment for the next five years?
Ricardo Dueñas: Thank you for your question, Mauricio. We are -- as you know, the projections for the MDP negotiation are based on a 15-year projection. So we're looking at the long term, not on the short-term projections. We keep our estimate of CapEx of around MXN14 billion to MXN15 billion.
Ruffo Pérez Pliego: Go ahead, Mauricio. You had another question?
Mauricio Martinez: Well, yes. And my second question comes on the cost front. We saw this quarter that you -- now we see an increase in payroll expenses. So I'm wondering if this is for an extraordinary -- or impact during this quarter or if we should expect these increments in the next quarters?
Ruffo Pérez Pliego: I mean, some of the adjustments, primarily regarding payroll, were based on recent contractual revisions that took effect at the latter part of 2019. So that impact will continue for the next few quarters. On the other cost items, we should see a decline in electricity, both because of consumption coming down as a result of the temporary measures that we have taken and also because we are getting a higher share of our electricity under our PPA as opposed to the public utility. So we have a benefit of lower price under that contract. So the remaining cost line items, we probably would see some inflationary adjustments over the next few quarters as well.
Mauricio Martinez: Thank you. Very clear. Thanks
Operator: Thank you. Our next question comes from the line of Ruben Lopez with Santander. Please proceed with your question.
Ruben Lopez: Hi, guys. Good morning and thanks for the call. My question is related to cost as well. If you can give us any color of -- I don't know, what percentage of areas have been closed in your terminals and whether that percentage is a good proxy for maybe cost reductions of cost of services for second Q? Thank you.
Ruffo Pérez Pliego: Sure. We -- there are some of our airports that have few scheduled commercial operations under the current scenario and the calendar that the airlines have provided for the following weeks. On those airports, we have shut down certain areas of the terminal and kept them operating with minimum staff. More or less, we have around 27% of our area -- our terminal area under these temporary closures across the board in various of our airports. And that equates to around 40,000 square meters.
Ruben Lopez: Thank you. And would it be fair to -- what could we expect in terms of that reduction of cost in that sense? I mean if you are reducing -- or with you closing temporarily 27% of the terminal area, would that same number would be use to a reduction for cost of services? Would it be half of it? I don't know, any color on that would be really helpful.
Ruffo Pérez Pliego: Sure, I think that the main impact will be felt in electricity and utilities as well as in our security contracted services, primarily because of security and cleaning. So we would see -- it's not going to be a linear reduction to the percentage. I mentioned it's going to be much less than that in terms of our costs, but those are going to be the two major line items impacted by these temporary measures that we have taken.
Ruben Lopez: Thank you.
Operator: Thank you. Our next question comes from the line of Oliver Leyland [ph], Private Investor.
Unidentified Analyst: Hi. Thanks for the opportunity. My question is going back to the MDP. My understanding is that, under certain conditions, depending on a specific fall in GDP, I think of 5% or above, the terms of the MDP, particularly the tariff, can be readjusted. Can you just clarify what exactly those kind of the mechanics behind the adjustment are and when that happens?
Ricardo Dueñas: Yes. Thank you, Oliver. You're correct. That's for the terms of the concession and the fall will be below 5% that affects traffic. You can renegotiate tariffs. In our case, this is a year in which we're beginning the process. So that's not something that we -- it will have a direct impact on our side since we are already in that process as we're speaking.
Unidentified Analyst: Okay. So there's no retroactive adjustment for 2020?
Ricardo Dueñas: No.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Andressa Varotto with UBS. Please proceed with your question.
Andressa Varotto: Hi. Thank you for taking my question. So I have a follow-up question on the MDP negotiation for this year. So my question is if your long-term traffic expectation has changed. And if so, this could affect the aeronautical tariff and by how much?
Ruffo Pérez Pliego: Well, in the case of the MDP negotiation, as Ricardo mentioned, we maintain our MXN14 billion to MXN15 billion estimate of CapEx for the next five years. Despite there is -- obviously, the impact of COVID to be felt in 2020, the uncertain recovery in the following months. As Ricardo mentioned, the MDP is based on a 15-year projection, not only for CapEx but also for passengers. So any impact in tariffs would have to incorporate the long-term expected -- change in long-term expectations in the passenger sector as opposed to the previous vector that we may have been using.So I think at this time, it's difficult to incorporate in such short notice the permanent impact of COVID. This is something that we are working on with our traffic advisers. And once we have a clear view of how COVID-19 situation would impact the long-term traffic projection, we may be in a better position to provide some feedback.
Andressa Varotto: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Alex Falcao with HSBC. Please proceed with your questions.
AlexFalcao: Thanks for this and good morning. My question is regarding who in Mexico is going to be responsible? What are the time frame and what are the guidelines that we're going to see for probably reopen or reopening on the airports? Is it the local authorities? Is that the Monterrey authorities that are going to -- and I know that the airports are not closed per se, there's still some traffic there, but I just wanted to know if there is to have -- or if there is to be any sort of reopenings, are there milestones to -- for that to be followed? Who gives those milestones? And for you, as you are looking at lower volumes, is there any chance that you consider reducing your personnel or services in a more permanent way?
Ricardo Dueñas: Thank you, Alex. As to -- you're right, the airports are an essential activity, so they're currently open. Regarding nonessential activities, it's up to the sanitary authorities. We're not aware that there are any hard written milestones in order to come up with a decision. It will be up to their criteria. And regarding personnel expenses, so far, we have decided to keep our personnel as it is for the time being.
Alex Falcao: Okay. Do you expect anything we can have in terms of milestones or what we can expect in sort of reopen? It's basically we -- do we watch for the airlines to signal this? Do you do -- what are you guys, when you do your planning and your budgeting, how do you guys think about that?
Ruffo Pérez Pliego: Well, we -- as we mentioned in the preliminary remarks on the call, there was a decree that was issued on March 31, initially suspending activities by -- through April 30. A few days ago, the decree was amended to modify the suspension up to May 30. So we are -- for planning purposes, assuming that April -- so May would be a very similar month to April in terms of passenger and operations.And then thereafter, we have yet to receive the schedules of airlines with their planned operations for the second quarter. We are under the assumption that the suspension of nonessential activities would be lifted by the end of May, and then we'll have a gradual recovery thereafter.But that recovery, in terms of passengers for the airports, would be very much dependent on how airlines ramp up their capacity again, number one. And number two, on the travel -- on the willingness to travel by passengers, which at this time is very difficult to estimate.
Alex Falcao: And sorry to keep asking about it, but just final question for me. Are you in contact with lessors for them to park their airplanes. And I'm assuming you're not charging any parking for the planes in your airports for the airlines, right? Are the lessors reaching out when they're getting some of these aircraft back, to just stay in your airports? Or that's not a discussion being held at this point?
Ruffo Pérez Pliego: We have not received calls from lessors for such type of arrangements, with some of the airlines that operate in our airports, the major ones. Right now, the aircraft parking is aeronautical service. And as we mentioned earlier, we decided that during the month of April and May, we would exempt airlines that are in compliance in their payment terms with us for their parking -- for their aircraft aeronautical services, and aircraft parking is one of those aeronautical services.
Alex Falcao: Thank you.
Operator: Thank you. Our next question comes from the line of Gabriel Himelfarb with Scotiabank. Please proceed with your question.
Gabriel Himelfarb: Hi. Good morning. Thanks for the call. A quick question, concerning about accounts receivables, have you seen the recent increase? Could you give us a bit of color if it was coming from the carriers? And if you have the proportion that might be or could be from Interjet? Thanks.
Ruffo Pérez Pliego: Sure. We don't have the details on our receivables at this time. At the end of March, around 92% of our total accounts receivable were aeronautical related and the remaining was non-aero business related, but we don't have the details as of today.
Gabriel Himelfarb: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Stephen Trent with Citi. Please proceed with your question.
Stephen Trent: Good morning, gentlemen and thanks for taking my question. And I hoping that you and your families are okay. Just a couple of quick ones for me. I think the first, can you see -- or are you hearing anything in the body language of the government that might be leaning them to think differently about developing Santa Lucia airport?
Ricardo Dueñas: Hi, Stephen. I mean the government -- I think the government has been very clear that the Santa Lucia airport is going ahead as of right now. And we haven't sensed any signal that they're doing otherwise.
Stephen Trent: Okay. Appreciate it. And second question, kind of a follow-up to Falcao. I know that airports are an essential business, but could you give us some sense as to approximately what percentage of your employees are on the ground and what percentage are working remote, for example? And how that might compare with the other airports, if you have the data?
Ricardo Dueñas: I mean, we don't have the exact numbers, Stephen. What I can tell you is our main headquarters, most people are doing home office. And in our airports, obviously, there's a lot of people on the ground to keep base of operations running. The exact number, I will have to get back to you because I don't have it at hand.
Stephen Trent: No problem. And just one very last quick one. When you think about air cargo as opposed to passenger traffic and you maybe had some view of the booking curve, any kind of broad view on what you're seeing for the air cargo ops in Monterrey and the related industrial park, kind of logistics-related activity?
Ruffo Pérez Pliego: Sure. Ricardo has presented different behavior than our traffic pattern. Actually, during the month of March, tonnage in our OMA Carga business was up as compared to the same month in the last year. In April, it actually has started to come down, but much more moderately than with respect to traffic. I think cargo will have a different dynamics in the sense that when nonessential activities are -- the suspension for nonessential activities are lifted, we should see a pickup -- an initial pickup in cargo tonnage to replenish the supply lines that are now stopped. So we would expect a better performance of cargo relative to our passenger levels for the year.
Stephen Trent: Okay. Appreciate the color and thanks for the time guys.
Ruffo Pérez Pliego: Thanks.
Operator: Thank you. Our next question comes from the line of Luis Yance with Compass. Please proceed with your question.
Luis Yance: Hi, guys. Just two follow-ups. One is you mentioned some of the initiatives you're doing to help the airlines in terms of aeronautical tariffs. I'm assuming that does not include the TUA. So I was wondering, if at some point, you would consider lowering or discounting the TUA so the airlines can pass that on to customers and incentivize demand or that's something off the table at the moment? That will be my first question.And then the second question, as their traffic comes back, what we're seeing in places like Europe is some of the airlines potentially are having to avoid offering the middle seat. That has obviously implications in terms of their load factors. And potentially, the only way to compensate for that will be much higher tariffs that eventually will hit long-term demand. What's your view on that? Would Mexico eventually implement that? And is there any other way to offset that potential negative implication for the airline? Thank you.
Ricardo Dueñas: Thank you, Luis for -- I think for your first question, as of today, any discounts in TUA are off the table. We have just used the airport services, so it's off the table. And for the second one, we've heard what you just mentioned for international airlines in Europe, especially, we haven't heard any local carriers making such announcements, the one you described. I think we will wait and see.
Luis Yance: Okay, great. And could you remind us what percentage of your aeronautical revenues are actually TUA and non-TUA?
Ruffo Pérez Pliego: Our total level -- the revenue is around 89 -- close to 90% is TUA related and around 10% is aeronautical services.
Luis Yance: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Frederico [Indiscernible] with Banco [ph]. Please proceed with your question.
Unidentified Analyst: Hi, guys. Some question. The first one is if you can say that, how is the U.S. dollar cash position at the end of the quarter? Second one, if you have the number of shares that I assume you are going to cancel after the shareholders' meetings. And the last one, with the MDP and the current situation, is any change in your CapEx or expansion plan that you are talking with the government?
Ruffo Pérez Pliego: Sure. With respect to the cash position, it's the same, we have not changed it. So right now, it's around $80.0 million. In the case of the number of shares outstanding, we have 3.7 million shares held in treasury that we have repurchased over the course primarily over the last year, and that will be canceled. The authorized number of shares right now is 393 million shares. So we will end up at around 390 million shares after the cancellation in the shareholders assembly.And your final question regarding the MDP, most of the CapEx, even though it is suspended right now because construction is not considered an essential activity, most of the CapEx committed for the last year of our MDP program that ends in 2020 was already contracted. So -- and we do not foresee revisions from our side or trying to renegotiate that with the authority. So we would comply with the committed investments under the current MDP program.
Unidentified Analyst: And for the negotiation that will begin at the -- you are talking about this with the government, something change for the MDP for the next five years or continue to be the same?
Ruffo Pérez Pliego: For now, we are maintaining our estimate of between MXN14 million to MXN15 million, and as the year progresses and we sit down with the government and have a clearer understanding of COVID's long-term impact, that number may change. But for now, we are maintaining that estimate.
Unidentified Analyst: Okay. Thank you so much.
Ruffo Pérez Pliego: Thank you.
Operator: Thank you. This concludes the Q&A session. I would like to turn the floor back to management for closing comments.
Ricardo Dueñas: I want to thank you all for your participation in this call. Ruffo Pérez and Emmanuel Camacho and I are always available to answer your questions, and we hope to see you soon. Thank you, and have a good day.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.